Operator: Good morning and welcome to the CEVA Inc. Third Quarter Earnings Conference call. All participants will be in listen-only mode. (Operator Instructions). Please note this event is being recorded. I’d now like to turn the conference over to Richard Kingston, Director of Marketing, Investor Relations. Please go ahead.
Richard Kingston: Thank you very much. Good morning, everyone and welcome to CEVA’s Third Quarter 2011 Earnings Conference Call. I’m joined today by Gideon Wertheizer, Chief Executive Officer of CEVA; and Yaniv Arieli, Chief Financial Officer of CEVA. Gideon will cover the business aspect and the highlights of the quarter followed by Yaniv, who will cover the financial results for the third quarter and will provide financial guidance for the fourth quarter and fiscal 2011. I’ll begin with the forward-looking statement. Today’s conference call contains forward-looking statements that involve risks and uncertainties as well as assumptions that if they materialize or prove incorrect, could cause the results of CEVA to differ materially from those expressed or implied by such forward-looking statements and assumptions. These forward-looking statements include financial guidance for the fourth quarter and fiscal 2011, the macro environment for the global shift market in statement 12, market data from strategy analytics, ABI research and certain data from our customers incorporated herein, optimism about our customers product pipelines and market penetration, optimism about the performance of our products and competitive advantage including the CEVA-XC and CEVA MM-3000 product lines, market potential for image signal processing, optimism about our ability to penetrate new markets beyond the cellular baseband markets as well as the positive impact on our business of these various factors. The risks, uncertainties and assumptions include: the ability of the CEVA DSP cores and other technologies to continue to gives strong growth drivers for CEVA, a success in penetrating new markets and maintaining our market position in any existing markets, the ability of products incorporating our technologies to achieve market acceptance, the effect of intense industry competition and consolidation, global chip market trends, the possibility that markets for our technologies may not develop as expected or the products incorporating our technologies do not achieve market acceptance, our ability to timely and successfully develop and introduce new technologies, and general market conditions and other risks relating to our business including but not limited to those that are described from time to time in our SEC filings. CEVA assumes no obligation to update any forward-looking statements or information, which speak as of their representative dates. With that said, I would now like to turn the call over to Gideon.
Gideon Wertheizer: Thank you, Richard. Good morning, everyone and thank you for joining us today. CEVA performed very well during the third quarter. We signed a number of important licensing agreements, including a leading licensee for our new CEVA-MM3000, video and imaging platform and a few won handset and tablet OEMs for our audio platform. On financials, we achieved record highs for gross margins, operating margins, non-GAAP net income and earnings per share. Revenue for the third quarter was $14.8 million, which represents 39% increase when compared to the same quarter last year and was at the high-end of our guidance range. Royalty revenue for the third quarter grew 67% year over year to $8.8 million. Earnings per share on a non-GAAP basis were $0.26, an all-time record high and 86% higher compared to the third quarter of 2010. Moreover, non-GAAP growth and operating margin were both records at 95% and 41% respectively. During the third quarter, we concluded eight license agreements, six of the agreements were for our DSP cross-platform and software. One was for our start-up product line and one was for our bluetooth technology. Geographically, two of the license agreements were in the U. S. and six were in Asia-Pacific, including Japan. Our customer products of 4G baseband process of video imaging and audio for smartphone and smart TVs, power line communication, connectivity and solid state devices. We continue to experience strong interest for our technology portfolio, both from existing and new customers. More importantly this growing demand extends beyond our strong legacy position, our cellular baseband product into other large and growing adjacent markets such as application processing for smartphone, smart TVs and tablets. To this end we achieved an important milestone during the quarter with completion of the first license agreement for our new MS-3000 video and imaging platform, and we signed a strategic and important license agreement, with a Japanese tier 1 handset and tablet OEM for our audio platform. In addition we signed three agreements for our DSP with customer target connectivity and power line communication application. Our product diversity gives CEVA a significant competitive advantage, allowing us to support the mobile and the digital home market with the range of unique, high-performance low-power architecture and software technologies that otherwise would be very difficult to find in the IT market and the return of investment will be diminutive if developed in-house. Let me take a few moments to provide you with additional details on the first licensing agreement for our MS-3000 platform. Our leading customer is a well-known high-volume China-based chief vendor in the smartphone, tablet and smart TV market. Who selected the entry-level code for MS-3000 platform, the MN-3100 to be used for Image Signal Processing ISP. Briefly, ISP is composed of relatively large sets of computing intensive DSP Technologies for producing high-quality still picture and HD video out of a low-cost sensor and optical lens that exists in every smartphone, feature phone, tablet, smart TV and the like. As we had stated in the past, the MS-3000 platform carries a unique value proposition by effectively consolidating two important multimedia functions; video and imaging into a single DSP. We believe this processor-based architecture can deliver an outright silicon size reduction of between 40% to 50% in comparison to conventional architecture composed of hardening video and imaging blocks. Moreover, the softer nature of this technology provide the flexibility to reuse the same platform for different applications and markets, thereby bypassing the long and costly process of silicon respins that would be required in case of hardwire based architecture. The market potential for ISP processing is enormous – it extends far beyond smart phone. It includes previously untapped market possible such as printer, security equipment and automotive, where multiple cameras will be used for various safety related measures. Our strategy for scalable photo-based architecture both for video and ISP for vital customer with platform that can be easily adapted to multiple market and price points. We are extremely encouraged by the recent positive feedback and progress on technical evaluation by potential customer. In parallel, we will continue to further in retail software and ecosystem to encourage more customers to adopt these promising technologies. Let me, at this stage, share with you a few key highlights of our market and customers. According to a recent strategy analytics report, the global cellular baseband processor market showed an healthy 23% year-over-year unit growth. However, CEVA once again significantly outpaced the market as our unit growth was an outstanding 113% for the same period. According to strategy analytics, Intel baseband unit shipment showed an impressive 44% year-over-year growth. Intel, GSM, GPRS edge baseband are now featured in the long awaited Nokia low-cost dual sim product. Dual sim cards allow subscribers to manage cost and network coverage. Emerging market constitute two third of the global handset market and it is an important part of Nokia overall strategy. Intel now – is now the strong number two to QUALCOMM in the 3G market, with 27% volume share in Q2, 2011, with an impressive 76% year-over-year growth. Intel 21 megabit per second HSPA class baseband platform to XMN-6260 is featured in Samsung flagship smartphone, the Galaxy S2. The Galaxy S2 has already passed the 10 million unit mark in terms of global sales. Broadcom show an impressive 104% unit growth in Q2 2011 compared to the same period a year ago. Most of its growth is derived from 2G baseband. For strategy analytics Broadcom penetration in its two primary customers is still low and has plenty of room to grow. Its management reiterated that Broadcom is on track to begin mass production with Nokia in – 3G, starting 2012. Also at Samsung, Broadcom has a number of design wins in new 3G phones going into production, including the Galaxy Y series, running Android and Samsung Wave for its running beta 2.0. Spreadtrum show a triple digit year over year growth. In the TD-SCDMA, China Mobile 3G standard Spreadtrum is gaining share over MediaTek and compared the company it holds more than 50% of the shipment volume in the TV markets. Spreadtrum customer include more than 30 global domestic tier one manufacturer and design houses who have introduced more than 72 feature phones and smart phone models in 2011. Among which is the Samsung Galaxy S2 and Smartphone from ZTE and Wowway. China Mobile expects to have more than 100 million TDS CDMA subscribers by the end of the year. Going forward, China Mobile is actively promoting its own LTE version referred as TBNT, and is collaborating with global operators such as Clearwire, Vodafone, Bharti-Airtel of India and SoftBank of Japan to speed up deployment. Other high profile operators such as AT&T and Verizon are adopting a substantially different NP version called SDLT. We believe OEMs and baseband semiconductor companies who are looking for a unified platform to support all these different standards. We defined our CEVA-XC DSP to be the only viable DSP that allows multimode baseband by means of software. We have currently more than 10 design wins for our CEVA-XC platform. What ABI research see as significant shift in component sourcing strategy, Samsung has chosen a CEVA power baseband solution from Via Telecom to supply a CDMA video chipset for its new LTE Droid Charge Smartphone and Galaxy LTE tablets, targeting the U. S. market via Verizon. This is an important development as it represent the first time Samsung has selected vendor other than Qualcomm for Verizon based Smartphone. In addition, the LTE baseband chip in the Droid Charge is also enabled by CEVA DSP. The number of things that it’s one-to-one in laptop aimed for student and mobile professionals in large organization comes equipped with integrated Ericsson mobile broadband modem comes supporting HSPA+ up to 21 megabit per second. Lenovo also introduced its Thinkbook tablet during the quarter, utilizing the same card for mobile broadband. The Ericsson card is enabled by our core technology. Ericsson is also working with silicon partners such as AMD, Intel, and GDN, Texas Instruments to embed its mobile broadband module with their chipset for a large range of products including notebook, netbooks and tablet. The new Motorola Atrix 2 Smartphone introduced last week by AT&T is generating ST-Ericsson 21 Megabit per second HSPA+ based on platform, powered by CEVA DSP. This represents the first time that CEVA DSP has been deployed in a Motorola Smartphone. The same platform from ST-Ericsson is also being used in the Sharp AQUOS 102SH 3D Smartphone for the phone-band network in Japan. With that said, I’ll now turn the call over to Yaniv for financials and guidance.
Yaniv Arieli: Thank you, Gideon. I’ll now review the results of operations for the third quarter of 2011. Revenue for the third quarter was $14.8 million, at the high end of our guidance, reflecting a significant 39% year-over-year increase. Revenue breakdown is as follows. Licensing revenue was $5.2 million, reflecting 35% of total revenue, 17% higher than the third quarter of last year. Royalty revenue was $8.8 million, reflecting 59% of our total revenue and 67% higher than the third quarter of 2010. Service revenue was $0.9 million, reflecting 6% of our total revenue, 12% lower than the third quarter of last year, during which we recorded $1 million. Our quarterly gross margin was 95%, a record high on both GAAP and non-GAAP basis. This compares to 91% for both – for the third quarter of last year. As for the quarterly operating expenses, research and development expenses were $5.2 million for the quarter, including approximately $510,000 of equity-based compensation expenses. Sales and marketing costs were $2.1 million, including approximately $291,000 of equity-based compensation expense and our G&A costs were $2.1 million, including approximately $553,000 of equity-based compensation expenses. Our total operating expenses for the quarter were $9.3 million, which included an aggregated equity based compensation expense of approximately $1.4 million, and are approximately 26% higher than the operating expense levels for the third quarter of 2010. Our total operating expenses for the third quarter, excluding equity-based compensation expense, were $8 million, reflecting the lower to mid-range of our guidance and approximately 16% higher than the operating expense levels for the third quarter of last year. This was mainly due to higher head count and its related costs in R&D in sales and marketing, as well as from higher project related expenses for our CEVA-XC chip and our MM-3000 offerings. Our total expenses for the third quarter of this year were 4% to 5% lower than the levels that were recorded during the first and second quarter of this year, mainly due to the timing of few R&D grant payments. U. S. GAAP operating margins for the third quarter increased 52% to a record 32% of sales from 21% for the same time last year. Our non-GAAP operating margins for the third quarter, excluding equity-based compensation expense, increased 58% to a record 41% in comparison to 26% only for the third quarter a year ago. U. S. operating income more than doubled in the third quarter of this year as compared to last year from $2.3 million to a record $4.7 million. Our non-GAAP operating income increased 117% from $2.8 million to a record $6.1 million for the third quarter of this year. Interest and other income for the quarter was $784,000, higher than our estimates due to higher cash balances. On the tax front, we recorded a quarterly tax expense of $0.6 million on a GAAP basis and $0.7 million on a non-GAAP basis on a pre-tax income. This accounted for 10% of pre-tax income for both. Our U.S. GAAP net income for the quarter increased significantly by 65% to $4.9 million and our fully diluted net income per share increased 54% to $0.20. This compares to $3 million and $0.13 respectively for the third quarter of last year. Non-GAAP net income doubled by 107% to an all-time record high of $6.3 million as compared to the same period a year ago. Our non-GAAP fully diluted EPS increased 86% to an all-time record high of 26% per share compared to the last year. These figures exclude approximately $1.4 million and $0.5 million of equity-based compensation expenses net of taxes for the third quarter of 2011 and ‘10 respectively. Other related data, shipped units by CEVA licensees during the third quarter of this year were $250 million, up 76% and 1% from the third quarter of last year and the second quarter of 2011 respectively. This is the 11th sequential quarter – a consecutive quarter that our customers have increased CEVA-powered unit shipments. Of the 250 million units shipped, 226 million units or approximately 90% are for baseband chips and reflect 2% higher volume as compared to the prior quarter in which 222 million units of baseband were shipped. As of the end of September, 29 licensees were shipping products incorporating our technologies, the same as the previous quarter and we had 38 shipping customers under licensing agreement. As for the balance sheet item, as of September 30, 2011, CEVA’s cash and cash equivalent balance, marketable securities and long-term bank deposits reached a record high of approximately $156 million compared to $153 million as of the end of June. During the third quarter of this year, we generated positive cash flow of approximately $3 million and our DSOs for the third quarter were 28 days compared to 23 days for the second quarter. Now for the guidance. On the royalty front, as usual we have not received all the royalty reports for the third-quarter shipments to date. But in general, we are encouraged by the positive trend indicated by these reports. As a result, we anticipate a noticeable sequential royalty revenue increase for the fourth quarter. On the licensing front, from ongoing discussions with perspective and existing customers we are told that despite general concerns about the macro environment; at this point, operational and development programs are progressive as planned. We will continue to act prudently with regards to our licensing revenue for the fourth quarter. Given the positive trend on the royalty front and consistency on the licensing front, we are, for the third time this year, adjusting upwards our full-year guidance based on actual results for the first three quarters of 2011 and the guidance for the fourth quarter, which I’ll elaborate on, in a minute. As for the annual guidance. Total 2011 revenue is expected to be between $58.5 million to $59.5 million. Gross margin is expected to be approximately 94%. Operating expenses, including 123 (R) related, are expected to be in the range of $37.2 million to $38.2 million. Annual equity-based compensation expense is forecasted to be about $4.7 million of which approximately 0.2 in cost of goods. Annual operating expenses, excluding equity-based compensation, are expected to be in the range of $32.5 million to $33.5 million. Interest income, net is expected to be around $2.7 million and the tax rate is expected to be about 13% on GAAP basis and 11% on non-GAAP basis. Share count for the year in the range of 24.2 to 24.4 million shares. U. S. GAAP EPS is expected to be in the range of $0.71 to $0.75 per share. And our non-GAAP EPS, excluding the aggregated $4.7 million of equity-based compensation expense, is expected to be in the new high range of $0.90 to $0.94 per share. As for the guidance for the fourth quarter. Revenue guidance is expected to be in the range of $14.2 million to $15.2 million. Gross margin is expected to be approximately 94%. Operating expenses, including equity-based compensation expense, are expected to be slightly higher compared to the third quarter in the range of $9.2 million to $10.2 million. Of the anticipated total operating expenses for the fourth quarter, $1.3 million expected to be accretive to equity-based compensation expenses. So, non-GAAP operating expenses are expected to be higher than the third quarter, but similar to the first and second quarter levels and in the range of 7.9 to $8.9 million. Interest income is expected to be around $650,000. Tax rate, GAAP and non-GAAP basis of 13%. And our share count for the fourth quarter is anticipated to be in the range of 24.3 to 24.5 million shares. U. S. GAAP EPS expected to be in the range of $0.15 to $0.19 per share and our non-GAAP EPS, excluding the aggregated $1.3 million of equity-based compensation expense, is expected to be in the range of $0.20 to $0.24 per share. Operator, we would now like to open the Q&A session.
Operator: We will now begin the question-and-answer session. (Operator Instructions) And our first question will come from Anil Doradla of William Blair & Company. Please go ahead.
Anil Doradla – William Blair & Company: Hey, guys. Congratulations, another great quarter. A couple of questions. Now, we’re close to the $1.00 to $1.20 range, or pretty much in there, a target that you guys gave out a year or two ago, is it now time to update this? And I have a couple of follow-ups.
Gideon Wertheizer: Yes. So thanks, Anil first. Good morning. You’re right that we had a mid-term target, I would say probably three years ago, of $0.80 to $1 that we believed and then communicated that that would be achievable within the next three years. I think that you realize from the guidance that we gave for 2011 that we have probably done that and reached that a year earlier. So first of all, we’re very happy that we were able to achieve what we had promised two years and do it a bit quicker. We will move and give 2012 guidance I believe in our January 2012 conference call and we’ll have a little bit of course more insight about next year. And with that said, by then we’ll also consider if we have a new range from the EPS perspective. What we do have right now is internal plans – and that’s on the baseband side, is essentially to triple the 2010 baseband units, again within two years more or less. And that will of course increase market share; that will help and continue to drive demand going forward. So if – in 2010 out of about 600 million devices, 450 million were attributed to baseband business, we would like to see that two years down the road close to triple.
Anil Doradla – William Blair & Company: Awesome, well looking forward to that. And also on China clearly you’re seeing the traction with some of the leading guys there; I mean there is so many moving parts to the story. How should I be looking at China kind of on a 12 to 24 month basis? Is the opportunity from China going to exceed whatever baseband units you do here? And coming back to your 3X baseband guidance, is that China driven? Can you help us frame the China opportunity on a 12 to 24 month basis?
Gideon Wertheizer: Now China Mobile is taking the next step by opening the phone industry there to a retail size, so you’re going to see more and more phones coming from independent ODMs and that’s where Spreadtrum is trained. They are much better positioned than their major competitor MediaTek. And then there is the – then there is the wideband CDMA, the 3G, and that’s a territory that, from our standpoint, being approached by Broadcom and ST Ericsson and Infineon, they have the platforms to do it there for – then there is the 2G that is now moving from GSM to EDGE and if you – the Nokia, they mentioned 18 million phones coming from zero to 18 million in one quarter dual sim phone. This is the EDGE revolution. Broadcom is very strong there in the EDGE so there and Spreadtrum now is coming with the 6810 EDGE smartphone. MediaTek is having a smartphone based on our technology. So all the EDGE migration from 2G to 3G that counts millions and millions of technology. So that’s the China. I don’t know if you referred your questions to the other economies, but in general, that’s the economy in China.
Anil Doradla – William Blair & Company: Okay. Now finally the cash position is great, what 150 plus million dollars, one thing that investors constantly ask is the use of cash, are we going to see some M&A, special dividend, stock buyback, I mean what are your plans? And thanks a lot for that?
Yaniv Arieli: Anil, this is the first time that you joined the gang about – asking about our cash. Let’s talk about the markets, forget the cash. We’ll – that’s a – that’s one bad point for you though. Okay. Cash is piling up and this is a nice problem to have as you know and talked about, I think we are looking at the cash a little bit differently today than we have in the past. And the key aspect is that we are finally getting into the application processor. And if this trend will continue, we will have a lot of add-ons and ecosystems and different ideas and thoughts that we will need to expand into and want to expand into in order to – and reach the offering and to explain and show the customers of the benefits. Gideon talked about 40%, 50% cost savings and the geometry saving of different solutions in the ISP space, this could be diversified into audio, video graphics; many, many more augmented realty and many other around these application processes market and this is where we are now much more focused in trying to use the cash, you know, to leverage these opportunities.
Anil Doradla – William Blair & Company: Okay. Great. Thanks a lot guys. Congratulations and looking forward to 2012.
Gideon Wertheizer: Thank you, Anil.
Operator: Our next question comes from Joseph Wolf of Barclays Capital. Please go ahead.
Joseph Wolf – Barclays Capital: Thanks. I wanted to see if we could talk about the licensing and the royalties, given the momentum in the business, I know that the longer-term motto was for a higher – or about a two-third, one-third royalty versus licensing and that seems to be – I guess set for good reasons. I’m wondering for the – what kind of near-term we could be looking at this 5 to 5.2 million licensing as a trend for a new normal compared to the prior guidance? And that would be my first question or actually as an extension, what kind of timing could we be looking at in terms of some of these licensing wins in 2011 really contributing on the royalty side in 2012?
Gideon Wertheizer: Okay. Sure. With regards to the licensing, yeah, let me give you a brief record of how we see the licensing going forward. First of all, in terms of prospects, when I look on the list of companies and the status of the agreement we – the pipelines there is significantly better than – or stronger than we had in the past. And there are two type of customers; one is built with our, looking for our baseband technology, our OIP, and power line communication, our smart grid, and that’s a, you have new customers coming, they are newcomers or incumbents that are now upgrading for the next generation or getting prepared for the mass market. And then the other part is the multimedia and we have two type of product there, both for audio and the video and the ISP, which I will elaborated in the prepared remark. Now – so, in general, I would expect that the license revenue will gradually grow throughout 2012 through the new sources of revenue or the OIP and the baseband from existing customers and so on. Now going into Q4, as we stated, we are taking a prudent approach. There is – there is this – all the concern about the global economy, the quarter itself is pretty short because we have the holiday season coming. All these things, it’s something that if we were – if I was – we were now in Q1 I would be more strong – take a more stronger position in licensing. But in general, I’m happy with what we see in the licensing. You want to..?
Yaniv Arieli: Royalties, we continue to see a good trend there. If you – as you know, we in Q4 represent our customers Q3 shipments and if you look, most of the announcements – the public announcements that were made from some of our customers, like the Broadcom and Samsung, and the success of the Galaxy and the U. S. well known OEM, that is still using us in part of their products and the – Nokia comeback as we mentioned earlier and Dual SIM from 0 to 18 within one quarter – million units, this is all happening and helping us in 2000 – now in Q4. So we’re seeing good – very good numbers in royalties, sequential growth, we’re taking a little bit – as Gideon explained, just to provide a lower approach than the 5 million-ish, just to be on the safe side with this macro environment. I hope that these clouds will drift away. We have not seen any slowdown in development cycles or need for new technologies, but we’re just trying to take it a bit prudent and overall, we are coming up with better guidance with our internal models – for the last couple of quarters – for Q4. So I hope we’ve managed to answer the first question.
Joseph Wolf – Barclays Capital: Okay. Did you give out a – the whole market number and the market share that you guys think you had in 3Q?
Gideon Wertheizer: Yeah. We had 226 million baseband out of 555 million. That’s the strategy analytics number for Q3. Q2 shipments, these are all the cellphone and connected devices around baseband. So that comes out to 41%.
Joseph Wolf – Barclays Capital: Okay. Great. And I guess – I know you – you touched on this, and you mentioned a bunch of customers by name, but is there any visibility into the end user Apple right now, given who you’re selling to and then your strategies, or is that something that’s still a work in progress?
Gideon Wertheizer: No, I don’t think we or the market know anything newer in the last couple of weeks post the 4S announcement. It’s clear that 4S is Qualcomm and they are supplying the baseband. It seems to be clear that Apple chose multisource like many other big OEMs before them, whether it’s a Samsung or a Nokia or Motorola or many other plays – all the other players essentially. And we believe that if Intel does continue to power the 4G – 4S and the 3GS version that Apple is trying to increase their market share in the emerging economy and this is where the volume is, it’s not really just the high-end, but it’s the emerging – the mid-range and the emerging value market then they – we will continue to enjoy royalties from Intel from those two major volume sockets. So this is how we see the opportunity within Apple. IPhone5 is –
Joseph Wolf – Barclays Capital: Thank you.
Gideon Wertheizer: ...it’s up for grabs. Nobody has the real insight there, but the iPhone5 if it includes – if it will include the LTE or a more advanced solution, I think everybody, and all the baseband players today, have a decent shot with their technologies and we could go one by one by one but I think we know all the players – the major players there to see what would fit and that will be the best solution for Apple.
Joseph Wolf – Barclays Capital: All right. Great. Thank you.
Gideon Wertheizer: Thank you, Joseph.
Operator: And our next question comes from Vijay Rakesh of Sterne Agee. Please go ahead.
Vijay Rakesh – Sterne, Agee: Yeah, hi guys. Thanks. I was just wondering if you could give some color on the China market, what it was – what it is for the second half of this year and how do you see the China market for next year in terms of your share there?
Gideon Wertheizer: Well, China market again, it’s divided to domestic and export. PDS CDMA, in my opinion, will go fast. And I see more and more commitment from China Mobile toward this standard and – so we see more of this and that’s good news for Spreadtrum. Then comes the EDGE and the 2G, we have there a strong presence, MStar and Spreadtrum they will – in my opinion, they will expand their market share. The EDGE takes them to a smartphone market, where the ASP will be higher and – as a result of royalty higher. And then comes the 3G Wideband CDMA, where it’s competition, Qualcomm, is strong there, but Broadcom and Intel are catching up very fast. They are – Broadcom is now, they made the announcement about Wowway design wins, DT design wins, TCL design win, the notebook design wins. So these are things that will develop and we’re going to see developing there.
Vijay Rakesh – Sterne, Agee: Got it. And with the iPhone 4S like you mentioned, broadly some headwinds, do you – what are the offsets there, do you see – even with that gap, do you see nice pickup into next year in terms of units from your customer wins either in the China handset market or otherwise, can you give some color to that?
Yaniv Arieli: Yeah. I think again this market has a lot – a lot of moving parts. We mentioned few in the call; quite a few are new design wins and products that are introduced. The most significant one that I think everybody have their eye on was the Nokia dual SIM. You could see the volumes within one quarter, jumping 18 million units for the first time. That’s CEVA powered. I think Gideon mentioned the new Motorola, the Atrix smartphone. This is the first time CEVA is powering a Motorola smartphone, this was not – never in our forte. So – this excludes STE, which got into – with a very nice platform and solution. We mentioned Lenovo ThinkPad, the powering – in the market today and a bunch of different other phones that we could see. So there is a lot of fragmentation in the market. One model could be very successful and pull our customers and ourselves others as we could be like iPhone, dropped off a bit from the high volumes that we were – because we – because we are sharing space. But other than the few – the Apple story, which is in the news, I do not recall us being dropped for any other – from any other socket. So from all these other trends, as long as our customers win market share and the market grows itself and we maintain our large portion of it, we will able to generate more units and hopefully more royalties. I think that’s the – trying to simplify it, because the answer could be very long, but this is the right way to look at the market opportunities. And again, this is just the baseband unit, we talked in length today about brand new opportunities in many other markets, including our old design wins in base stations that we have won in the last 12 to 24 months and should be kicking in. So I think we have a lot of interesting growth things going on from the royalty point.
Gideon Wertheizer: Vijay, just to add to what Yaniv said, Apple has 5% market share on the global basis. They want to grow and I think that’s what they are saying. They should look into the emerging markets, where two third of the volume worldwide is there. And I think that’s the rationale for keeping the iPhone 4, even reducing its cost, I believe that other than the feature set reduction that they did, moving from reducing from 16 meg to 8 meg, they did – they are doing continuous improvement on the manufacturing and the chipset side in order to keep (inaudible) pleased to read the mid-range market, the 300 plus level of smartphones and that’s the range, which we are very strong.
Vijay Rakesh – Sterne, Agee: Got it. Great. Thanks for that color, but last question, you guys had a single chip in a 3G, 4G together on a single chip, when do you see that coming out and does that support the TDS CDMA also.
Gideon Wertheizer: Well, TDS CDMA they are already in the market, Spreadtrum is shipping and the trend, it looks very nice there. LTE, we have few design wins without going to specific names, they are already at field testing. They are in the field testing.
Vijay Rakesh – Sterne, Agee: Got it. That’s great. Thanks a lot.
Gideon Wertheizer: Other than Samsung that’s already in production with Verizon, we have few customers that are in field testing now.
Vijay Rakesh – Sterne, Agee: Okay. Great. Thanks.
Gideon Wertheizer: Thanks, Vijay.
Operator: And our next question comes from Daniel Meron of RBC Capital Markets. Please go ahead.
Daniel Meron – RBC Capital Markets: Thank you. Hi, Gideon and Yaniv. Congrats on another set of very solid numbers. Good work. Just a quick question from me, I think you guys mentioned Apple, can you shed a little bit more color on the Nokia phone, I think on the one hand, obviously seems like some circuits are moving to Qualcomm, but it seems like some other designs; mid-range designs; are probably looks like, they are going to use your solutions, so I guess it’s the same equation that you applied on the volumes going to emerging markets, et cetera, they are going to actually play in your favor in the long-term? Is that the right way to look at it?
Gideon Wertheizer: Well, Daniel, it’s Gideon. First of all, the new phones that Nokia announced, we are, we need to take some time to understand exactly who is there to be sure that – who are the suppliers, but let me tell you in general. When it comes to the smart phone and this is the Windows based, the Mango based phone; this was not supposed to be a market that we were hitting. This was a TI market, initially it would be Symbian now moved to Windows. But if I can refer you today at the conference call that Broadcom had two days ago, the CEO put it very clearly that they are in discussion with Windows and to pull their technology into the Broadcom chip, which is based on us eventually. Now, so this will come, but 80% of the volume that Nokia is shipping is not Windows and that’s what we see significant out of the – just to give you an example, out of the 86 non smartphones, phones that Nokia shipped in Q3, just 18 in the new, the dual SIM phones coming and all of them very conceivable. And obviously there are more, but the feature phone and the non-smartphone part of whether it’s 2G or 3G, this is our ballpark and going forward in the smartphone, we need to take time that our customers like Broadcom, ST-Ericsson will catch up with the window popping and they will be there as well.
Daniel Meron – RBC Capital Markets: Okay. Very good. And then just going back to the market share, I think you guys had 41% from the second quarter shipments. Two questions there. The first one, this has been the number I think off the top of my head for last two, three quarters, anything to read into that or is it just a matter of how do you define the market versus how you defined it beforehand? And then the other part of it is, do you still see a lot of room for the transition within Nokia from TI towards your solutions or are we 80% or 90% of the way already there?
Gideon Wertheizer: Yeah, that’s a good question, Daniel. First of all, I think you’re right saying that the 41% was in the quarter before. I don’t know if its two quarters before, it’s not on the top of my head. But we are now reporting the Q2 ‘11. Between Q1 ‘11 shipment and Q2 ‘11, the market was flattish and we maintained the 41%. So in terms of growing, we basically stay with the market. However, there were two hurdles that basically stop our growth above keeping the line penetrating and growing our market. One is the late arrival of the dual SIM phones for Nokia, which is now very heavy in the Q3 shipments. So this was supposed the quarter to come out to the market a quarter before. I don’t know what happened there, but they were late, but that’s – so we missed this and seeing 20 million units that we are supposed to ship. And the other one is a more kind of general is in order for us to gain more market share, we want – we need to get more 3G in particular, Broadcom and ST-Ericsson. Intel is now number two, they are 27%, but Broadcom is – it’s a very minimal shipment. They are – they spoke here two days ago about their 3G and Samsung and they spoke about going in to Nokia and this I believe will yield significant volume in 2012. And that’s – this is the point where you’re going to see our market share growing. And I want to refer you to what Yaniv was saying, that the target, the important now for us the target is to get in two years to 1.3, 1.4 billion units versus – for something – 400 million something that we had back in 2010.
Daniel Meron – RBC Capital Markets: Okay. Very well. And then last question, just housekeeping, 10% of customers Yaniv. Who are they in the second quarter or for the year – sorry for third quarter or year to date if you can just give us a sense on the numbers and if there is any visibility on how we should think about the end customers that these numbers reflect?
Gideon Wertheizer: I believe we have the three 10% customers there this last quarter versus two in Q2. And maybe out of the two – no, maybe out of the three – two are becoming royalty payers and one is a new licensee. That’s typical, this isn’t unique if you look historically in order to reach around 5 million units, we have one or two or three 10% customers, now some could include royalty payers, the significant ones, and some are just coming from deals. So not a big change from that dynamics, it’s still the same story.
Daniel Meron – RBC Capital Markets: All right. Can you name those 10% customers?
Gideon Wertheizer: No. We do it on a quarterly basis in our 10-Q based on a, b and c and you’re more than welcome to take a look there, it’s published within every 10-Q and K that is out there, but not, not for names.
Daniel Meron – RBC Capital Markets: Very well. Okay. Thank you. Good luck.
Gideon Wertheizer: Okay. Thank you, Daniel.
Daniel Meron – RBC Capital Markets: Thank you.
Operator: And our next question comes from Matt Robison of Wunderlich. Please go ahead.
Matthew Robison – Wunderlich: Hey, thanks for taking my question and I apologize if some of this has been asked, the call is – the con call service seemed to drop my line for quite a while there. Anyway, I’m encouraged by the bounce in royalty ASP and wanted to get some flavor for that, maybe if you could let us know what the mix is like in terms of Teak versus CEVA and CEVA-XC and where you see it going over the next few quarters? Because obviously, it’s – well go ahead and let’s try to answer it that way I guess?
Yaniv Arieli: Yeah. I’m happy that you’re delighted. We’re delighted from the overall picture, not necessarily from the ASP. It has – the model is way too complex, it depends on so many different customers and products and technologies that are shipping and so overall, I think that the key here is not the ASP, as I mentioned and Gideon has mentioned – it’s the volume; it’s overall royalty trend. And there’s no doubt – and this we should highlight again and make sure this will be clear, but this is not on a quarterly basis. Let’s check this number a year from now, not from one quarter to the other, because the three years is meaning, in a sense, meaning that it’s always different ramp-ups and then so many different customers with different products and models out there. I would say 4G, LTE is a significant one. That’s moving up from the $0.03 or $0.4 to the $0.08 or $0.10 or $0.12. That’s a significant milestone. When we have 4G, significant shipments, not just the Samsung devices, let’s take another stab at your question. When you look at the application processor business, again and you look at the prices of the Snapdragon or the N-video devices or TI Da Vinci, these are $15 to $25 chips – same goes for us. The multimedia is significantly higher, it’s $0.15 and this – when this gets in to production and remember we are just now signing the first MM-3000, so it may take some – a while. That could be a very, very important driver three years from now, to be conservative. So I think these are the main keys to highlight from the quarter-quarter if you move so and so tens or hundreds of the all the same I don’t see that as a big issue.
Matthew Robison – Wunderlich: Well, Yaniv there’s a pretty big move from a percentage basis, so the fact that you don’t want to talk, does that mean you think it’s going to go back down this quarter? Or just that it’s too hard to model?
Yaniv Arieli: No, we don’t have all the royalty reports in the math yet. So I don’t know that answer for the question as of today. We will as soon as we finalize and get all the reports. I think that’s the –
Matthew Robison – Wunderlich: Okay. So – but, as you move in to from Teak to CEVA, let alone CEVA-X, you’re going from 2G, EDGE into 3G, and you’re going to end with situations like the TDs business with Spreadtrum, you’re moving from Teak to CEVA-X and that is – is that mix increasing the CEVA-X, did it increase the component of CEVA-X in the third quarter and so you think it will -?
Yaniv Arieli: Absolutely Matt. Sorry, I thought that was clear. Gideon talked about it. Absolutely. Of course, it’s – it’s increasing, the ASP is higher for that and that – that goes without saying – that has always been the case with the newer technologies.
Matthew Robison – Wunderlich: So you think the trend is there, you just don’t want us to focus on that number, because you don’t know exactly where it’s going to go in the very near-term?
Yaniv Arieli: Yeah. Bear in mind, the mix is the difficult part of it, that’s what I tried to explain. I probably didn’t do it well.5 Out of the 250 million, if you look at the PB space, it’s still millions of units, it’s not hundreds or tens of millions and we powered 226 million devices last quarter. So when TD on the 3G does pick up, it’s still going to be in the tens of millions, but it – I’m not sure what effect or how quick that effect could have in the overall scheme of our hundreds of millions that we are powering. I think that’s the only question or problem that I don’t have the right answer upfront. I do have it post-boardroom.
Matthew Robison – Wunderlich: What’s your industry view on the transition from ultra-low cost 2G phones like we have now and EDGE phones to ultra-low cost 3G products that we’re starting to see with the Nokia Asha Series and – which was announced yesterday – and some of the other products that may be on the – coming to market next year? And how do you see your participation in 3G versus what it’s been in 2, and – 2 and EDGE and what – how should we look at the royalty ASP that’s – might be – that effect on royalty ASP?
Gideon Wertheizer: Yeah, Matt, it’s Gideon. First of all, when it comes to the mass market in 3G and the mass market, the condition 3G now in China, that’s where you have to come out with a chipset solution, not just the baseband, the baseband integrated application portal. So companies like Broadcom, who have their connectivity bundle there, they are in a position – and that’s what we are seeing. I mean we see Broadcom is going there, we see Intel is already there, going even to the Chinese ODMs like the MediaTek and the others. So that’s where – and the 3G – the sales for the 3G, that you mentioned about Nokia, that’s the market that picks us. I don’t know specifically if we are there, we will investigate it, but in general, that’s a market – that’s a market we should be there. TD-SCDMA, this will be a very specialized market, we – I don’t know maybe three, four, five – I don’t see Broadcom growing there, ST-Ericsson, I hear that Qualcomm is trying to be there. But it’s not an easy going there, but with the volume I see the volume could be very high. You’re going to see the feature phones and smart phones and smart feature phone plus the new invention of original forms.
Matthew Robison – Wunderlich: How fast do you think the TD LTE transition is going to happen? Because FijiTel on their conference call last night talked about already seeing demand for TD LTE tests, at least visibility for it to develop, so it seems like there is some very ambitious expectations for TD LTE is – what’s your sense for the timeframe for chips to become available for that?
Gideon Wertheizer: As far as I can see it, it wouldn’t be before 2014.
Matthew Robison – Wunderlich: Wow, that far out. Okay.
Gideon Wertheizer: But we will see from our end.
Matthew Robison – Wunderlich: Yeah. Okay. Thanks a lot.
Gideon Wertheizer: Thanks, Matt.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Mr. Kingston for any closing remarks.
Richard Kingston: Thanks very much. Thank you all for joining us again today and your continued interest and support at CEVA. We will be attending the following upcoming conferences and events and invite you to join us there. On the November 7, we will be at the TechAmerica Classic Financial Conference in San Diego, 15th of November, the 8th Annual Citi U. S. small and mid-cap conference in Las Vegas, Nevada, November 29th, we will be in San Francisco at the Baird Technology Conference and December 7 and 8, we will be at the Barclays Capital Global Technology Conference in San Francisco. Thank you and good bye.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.